Operator: Good day, ladies and gentlemen, and welcome to the OSI Systems, Inc. Third Quarter 2018 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions]. As a reminder, this conference call is being recorded. I’d now like to turn the call over to Alan Edrick, Chief Financial Officer to begin the call. Sir, you may begin.
Alan Edrick: Well, thank you. Good afternoon, and thank you for joining us. I’m Alan Edrick, Executive Vice President and CFO of OSI systems. And I’m here today with Deepak Chopra, our President and CEO. Welcome to the OSI Systems fiscal 2018 third quarter conference call. We would like to extend a warm welcome to anyone who is a first-time participant on our conference calls. Earlier today, we issued a press release announcing our fiscal 2018 third quarter financial results. Before we discuss our results, I would like to remind everyone that today’s discussion contains forward-looking statements. In connection with this conference call, the company wishes to take advantage of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 with respect to statements that may be deemed to be forward-looking under the securities laws. These forward-looking statements are based on management’s current expectations and are subject to uncertainties, risks, assumptions and contingencies, many of which are outside the company’s control. Such statements include, without limitation, information regarding the expected financial and operational performance of the company and its operating divisions; the company’s expected revenues, earnings and growth; and expectations regarding the effects of the new tax legislation. Please be advised that actual results could differ materially from our forward-looking statements due to numerous factors, including factors described in the company’s periodic reports filed with the SEC from time to time. All forward-looking statements made on this call are based on currently available information and speak only as of the date of this call and the company undertakes no obligation to update any forward-looking statement that becomes untrue because of subsequent events or new information or otherwise. During today’s conference call, we may refer to both GAAP and non-GAAP financial measures of the company’s results. For information regarding non-GAAP measures and comparable GAAP measures and a quantitative reconciliation of those figures, please refer to today’s press release regarding our fiscal 2018 third quarter results, which has been furnished to the SEC as an exhibit to a current report on Form 8-K. Before turning the call over to Deepak to discuss the company’s general business and operations, I will provide a high-level financial overview of the third quarter. All my references will be to fiscal Q3 2018, compared to fiscal Q3 2017 unless otherwise specified. First, we reported Q3 net revenues of $267 million, a new third quarter record for OSI and a 9% year-over-year increase. The growth was driven primarily by our Security division, which reported record Q3 revenues of $170 million, up 18%. We saw strong organic growth in our product sales and related service revenues, which were partially offset by the change in revenues associated with the New Mexico contract. This growth was also aided by approximately $80 million of revenues from our explosive trace detection business, which we acquired in the first quarter of fiscal 2018. Our Opto division reported 5% external revenue growth with strong intercompany sales growth. These Security and Opto division revenue increases were partially offset by decreased revenues in our Healthcare division. Second, we reported Q3 GAAP diluted earnings per share of $0.13, compared to diluted earnings per share of $0.72 in the prior year, due primarily to higher impairment restructuring and other charges, which we will discuss later. On a non-GAAP basis, Q3 EPS was $0.86 per diluted share in line with our expectations, compared to the $0.85 per diluted share reported in Q3 of last year. Non-GAAP EPS excluded the impact of impairment, restructuring and other charges, amortization of acquired intangible assets, the gain on the disposition of a business, and non-cash interest expense, all net of related tax effects, it also excludes discrete tax items. Third, operating cash flow for the quarter was $31.1 million and capital expenditures were $4.4 million. For the first nine months of fiscal 2018, operating cash flow was a noteworthy $115.8 million. Fourth, we were active during the quarter in our stock repurchase program, acquiring approximately 972,000 shares in the open market at an average price of $61.37 per share. Finally, our Q3 book-to-bill ratio was 1.4. Our backlog as of March 31, 2018 was approximately $938 million, an increase of 27% from the start of the fiscal year. Before diving more deeply into our recent financial results and discussing our updated fiscal 2018 guidance, let me turn the call over to Deepak.
Deepak Chopra: Thank you, Alan, and again, good afternoon and welcome to the OSI Systems earnings conference call for the third quarter of fiscal 2018. We are pleased with our performance this quarter, led by our Security and Opto divisions with each delivering strong revenue growth and solid profitability. These divisions strong performance more than offset Spacelabs’ performance and the impact from the lower revenue level under the renewed two-year Mexico turnkey services contract, which was in line to our expectations. Company’s revenues grew by 9% and ended the quarter with a strong backlog approaching approximately $1 billion. Also, our Board of Directors authorized a new stock buyback program for an additional 1 million shares. And as Alan mentioned, the company bought back approximately $60 million worth of stock in the quarter. Reviewing the highlights for the quarter for each division starting with our Security division. Security revenues were $170 million, an 18% higher than the prior year. Our security bookings during the quarter were $270 million, more than twice the level in Q3 of the prior year and include approximately $130 million from the renewed two-year contract to continue the screening services operation in Mexico. Non-turnkey bookings were also very solid for the quarter. For checked baggage screening, we continue to achieve market penetration in the European Union with our Rapiscan RTT 110 explosive detection system. To address a similar need for higher threat detection capabilities at the checkpoint, during the quarter, we launched the Rapiscan 920CT checkpoint security scanner. The 920CT is the company’s first dual energy CT scanning technology for checkpoint security screening. To accelerate its time to market, the 920 scanner uses Analogic’s advanced CT imaging technology and threat detection software. This new platform is currently being evaluated by the ECAT for certification in Europe. Shortly after the quarter-end, we served as a security systems provider for the Gold Coast 2018 Commonwealth Games, which were held in Queensland, Australia from April 4 to April 15. Several of our checkpoint products were utilized to help secure numerous entry points at the games, including Rapiscan 600 Series Baggage and Parcel Inspection systems, and Metor metal detectors. With our participation in the Gold Coast 2018 Commonwealth Games, we continue our tradition of being a leading systems provider at prominent international sporting events. As we mentioned in our last quarter call, we started a strategic initiate to enter the market for integrated security services for sports and entertainment facilities and temporary events. Examples are, professional sports, stadiums, concerts and other large events. To take up this initiative, we are now the title sponsor of the PGA Champions Tour Event in Biloxi, Mississippi called the Rapiscan Systems Classic. The first Rapiscan Systems Classic was held in late March and surpassed our expectations. At the Classic, we provided security for the safety of players, attendees and other service providers. We were also able to showcase our total security services portfolio. In addition to increasing awareness of our security brands at the event, local media and national sports media networks replayed highlights from this event, which should help increase our name recognition nationwide and globally. It was a great opportunity to provide an essential service and promote brand awareness in a new market segment. We look forward to supporting future events. On the integrated service front, the Mexico, the Puerto Rico, and the Albania done these screening services contracts are doing well. As an example of the critical value we deliver, we announced during the quarter that we assisted Albania authorities seized 1,350 approximate pounds of cocaine being smuggled into Albania utilizing our high energy X-ray scanner. The narcotics were hidden in a false door floor of a produce shipment and the Albanian state police estimated the value of this seizure to be about $200-plus million. We’re also on track to begin operations on a small multi-year integrated turnkey cargo screening program in Asia. These integrated services programs not only serve as an effective defense against the trafficking of contraband, they also increase the accuracy of customs declaration, resulting in improved collections of customs revenues and they also ensure that the shipper pays the legally required duties. Moving to the Healthcare division. Spacelabs revenues for the third quarter were about $44 million, 8% lower than in the prior year, excluding the impact from a non-core divestiture. After seeing growth return to both Spacelabs top line and operating performance in the previous four quarters, which is a step back. The order demand during the quarter was tepid across several regions. We took the opportunity during the quarter to review the Spacelabs organization and assess how well-suited it is to meet the division’s critical needs going forward. Today, I’m proud to announce that we have appointed Mr. Jim Green, as President of Spacelabs Healthcare, and he will be succeeding Sujit Kumar as of April 27, 2017. Jim has spent his career with healthcare and high-technology organizations and also has a significant experience as CEO of Analogic Corporation for nearly a decade. Jim should be well-suited to help Spacelabs build a stronger core foundation as he helps to create an environment for innovation that aims to accelerate healthcare revenue and profitability growth. We thank Sujit, who came in two years ago and did a good job of providing leadership during a very important transitional period for this division. He helped build our current Spacelabs management team and greatly improved our operations and product launch process. We thank Sujit and wish him well in his future endeavors. Moving to our Optoelectronics and Manufacturing division in Q3, overall revenues were up 14%, including intercompany and the adjusted operating margin posted solid double-digit at a 11.6%. This performance was driven by a favorable product mix, growth in intercompany demand, and benefited from a new product line acquisition. During the quarter, we acquired a Canadian-based provider of flex and rigid flex assemblies to OEMs in healthcare, telecommunications and test and measurement equipment among other industries. This acquisition builds upon our flexible circuit design and manufacturing capabilities. Opto has improved its focus on choosing higher potential opportunities in the numerous industries, which it serves. The division has now had a book-to-bill ratio of 1 to 1 or greater in each of the last five quarters. So it is not only choosing wisely, but also increasing the overall demand as we are at the highest backlog in Q3 over the past five years. Going forward, we will continue to focus on OEMs that value the ability of the supplier that can serve them worldwide from prototype to full production with operations onshore and also areas closer to their end markets. In summary, with a strong backlog and visibility and opportunities, we’re confident that we should deliver a solid finish to the fiscal year. As always, I would like to thank our employees, customers, and stockholders for their continued support. With that, I’m going to turn back the call back over to Alan to talk in more detail about our financial results before we open the call for questions. Thank you.
Alan Edrick: Well, thank you, Deepak. Now I’ll review the financial results for the third fiscal quarter in greater detail. As mentioned previously, our revenues in Q3 of fiscal 2018 increased by 9%. Q3 revenues in the Security division increased by 18% year-over-year, driven by strong performance across much of our product portfolio, especially in our cargo and vehicle inspection product line in our recently acquired trace product line. Q3 revenues also increased in our Opto division, driven by growth and intercompany sales to our other two divisions and the impact of the small acquisition in January 2018, as Deepak mentioned, which contributed $4.7 million in Q3 sales. Revenues in the Healthcare division decreased 8% on an organic basis, as the strength we saw in U.S. markets in the first-half of the fiscal year was not maintained this past quarter. Our Q3 gross margin came in at 36.5%, compared to 35.1% last year. Each of our divisions contributed to the solid gross margin expansion. The greatest impact was attributable to performance in the Security division, which exhibited favorable product and channel mixes, along with economies of scale, resulting from higher revenues and operational efficiencies. As mentioned on previous calls, our gross margin will fluctuate from period-to-period based on product mix among other factors. Moving to operating expenses. In Q3 of fiscal 2018, SG&A was up $10.4 million, which included costs associated with the acquisitions previously mentioned and investments to support higher sales level. R&D expenses in Q3 were $15.9 million, up from $14.4 million in the prior year, primarily due again to acquisitions in the Security divisions that brought a higher mix of products in the development stage. We remain focused on innovative product development, which we view as vital to the long-term success of our business. Impairment, restructuring and other charges were $14.1 million in Q3 of 2018, as compared to $2.5 million in Q3 of fiscal 2017. This included approximately $9.7 million of charges in our Healthcare division, due to the abandonment of the technology. The remainder of the charges is comprised of acquisition-related cost, facility closure cost, employee severance cost, and other legal and settlement costs. Moving to taxes. This past quarter, the effective tax rate was 18.1%. Excluding the impact of discrete tax items, our effective tax rate was 28.2%, compared to an effective tax rate for Q3 of fiscal 2017 at 27%. For the first nine months of fiscal 2018, our income tax provision is $65.4 million, as compared to $7.3 million for the comparable prior year period. The current year provision includes approximately $56 million that we discussed in last quarter’s call, a discrete tax expense primarily resulting from the enactment of the Tax Cuts and Jobs Act in December of 2017, after which we recognized a charge of approximately $56.2 million, representing our estimate of the tax on accumulated overseas profits and a revaluation of deferred tax assets and liabilities. Let’s now turn to a discussion of our non-GAAP adjusted operating margin, which excludes the items mentioned earlier in the call. The company’s non-GAAP adjusted operating margin was 9.7% in Q3 of fiscal 2018, compared to 10% in the same prior year period. This change was anticipated in connection with our move to the New Mexico contract, which is at a lower revenue run rate and thus reduces margins. That being said, the adjusted operating margin was still solid in Security, decreasing only modestly on a year-over-year basis to 14.3% from 14.7%. The adjusted operating margin in the Opto division improved to a 11.6% in the third quarter of fiscal 2018 from a 11.3% last year. The adjusted operating margin in the Healthcare division was down year-over-year to 2.9% from 4.2% last year, due primarily to decreased revenues in the division. As we noted on prior calls, the contribution margin of the Healthcare division is generally the highest among the three divisions and therefore, is quite sensitive to the top line. Moving to cash flow. In Q3 of fiscal 2018, cash flow from operations was $31.1 million. Capital expenditures in the quarter were $4.4 million, while depreciation and amortization was $13.7 million. Days sales outstanding, or DSO was 74 days, up by 6 days over the prior year due to the timing of collections. Days inventory for Q3 came in at 163, up by 10 days, compared to the 153 days reported in Q3 of fiscal 2017, as the Security division perhaps to deliver the strong backlog. Our balance sheet remained strong. We ended the quarter with net leverage of approximately 1.8, as defined under our revolving credit facility. Finally, turning to guidance. We are raising our fiscal 2018 guidance on both revenues and non-GAAP EPS. We anticipate fiscal 2018 sales in the range of $1,065 million to $1,095 million, which would represent growth of 11% to 14% compared to the prior fiscal year. We are also increasing our non-GAAP earnings guidance to $3.50 to $3.69 per diluted share for fiscal 2018. This excludes the items noted earlier in the call. We believe this modified sales and earnings guidance reflects reasonable estimates. Actual sales and earnings, however, could vary from the anticipated ranges because of the risks and uncertainties that affect our business and industries generally, including items beyond our control such as site readiness for product installations, customer acceptance, and the timing of orders in each division. We have continued to demonstrate growth, while generating strong cash flows and investing in product development and innovation and making selective strategic acquisitions. Our product and acquisition investments continue to enable OSI to sustain our leadership role in the turnkey screening services market and have allowed us to introduce innovative products and solutions across our various industries. Thank you for participating in this conference call. And at this time, we will open the call to questions.
Operator: [Operator Instructions] Our first question comes from Brian Ruttenbur with Drexel Hamilton. Your line is now open.
Brian Ruttenbur: Yes. Thank you very much. Great quarter by the way. So a couple of quick questions. In terms of book-to-bill, can you give us some kind of bookings number ex-Mexico, because I think Mexico came in there during the period?
Alan Edrick: Brian, this is Alan. I’ll take that. So the bookings – the Mexico bookings were approximately $130 million. So if we subtract that out, that would give us our overall bookings for the quarter.
Brian Ruttenbur: So what was your book-to-bill then ex-Mexico?
Alan Edrick: It was much closer to a 1 to 1 ratio.
Brian Ruttenbur: Okay, great. And then can you talk about going forward and you had a very good quarter in terms of Security. Can you talk about what you see going forward in terms of growth with this new lower Mexico contract? Can you sustain this, because I think that the majority of this quarter was without the Old Mexico contract, is that correct?
Deepak Chopra: Brian, this is Deepak here.
Brian Ruttenbur: Okay.
Deepak Chopra: Our pipeline looks very robust, especially in the cargo space and we continue to be very positive on the continuing the RTT in the European Union and the trace business that has done well. So we’re very optimistic. We feel good about it. And as the – as what we look at it from the new budgets that are also coming out from Washington, it’s very favorable for our kind of products, both domestically and in the international sector.
Brian Ruttenbur: Okay. And if I could add one more question on that. In terms of that you mentioned the new turnkey project in Asia. Can you give us any color maybe starting time, size, you don’t have to give us exact numbers, but bigger or smaller than a breadbox would be great or something along is that Puerto Rico size, or is it Albania size, something along those lines?
Deepak Chopra: Good question, Brian, and you can also appreciate our answer is going to be the same way to answer that. It’s in Asia. We’re very, very excited about a turnkey integrated solution project. It’s smaller than Puerto Rico. It’s a multi-year contract, and we’re going to start doing the civil works and start working on it. It will start showing revenue sometime a year from now.
Brian Ruttenbur: Okay. And then last question, you’ve had lots of changes with healthcare and you’re making another change here. Is there plans on the horizon, is this the last time you’re going to take a swipe at this, or is it – if this doesn’t work, you’re going to sell it. What do you think is this a fixable problem? Is this an end market problem? Is this the products problem?
Deepak Chopra: Brian, firstly, I think the way you have to look at it is, this was a – Sujit had done a great job. About a month ago, he came over and came forward that he wanted to try other things. So it’s – at his best, he done a good job. We wanted to make sure that we filled the place. And I’ll be very fortunate Jim Green is a fantastic person, who comes from the industry has a lot of knowledge. Regarding the other subject you’re asking about is, we’ve had four quarters – three, four quarters of good revenue, especially in U.S. So I mean, I – we look at this, there’s nothing wrong about it. Basically, it slips from one quarter to the other and there were large programs that we’re chasing and some of them didn’t happen in time. So we are very – we’re feeling good about it. The change has nothing to do with any drastic things along with it. Regarding your second question, we still believe that we are focused that healthcare is very important. As Alan has mentioned many times, when the revenue is there, it’s got the best margins. So we think that Jim Green’s addition and the focus on technology and what other add-ons we can look at it now, we want to complete focus on it to grow the – all the businesses.
Brian Ruttenbur: Thank you.
Operator: Thank you. And our next question comes from Greg Konrad with Jefferies. Your line is now open.
Greg Konrad: Good evening. Just on the Optoelectronics, I mean, with the product line acquisition in the quarter, I mean, would you view that segment as maybe a platform to expand further? And maybe, if you have any type of color, you mentioned the business has been strong in terms of different end markets?
Deepak Chopra: Greg, this is Deepak here. Our focus has always been we want to differentiate ourselves from just being a generic contract manufacturing PC board electronic assembly. We have bought couple of technology platforms. Flex is a very good platform we bought this other company also adds onto it. We want to continue to look at niche areas, selective customers, both in healthcare in aerospace and in defense kind of businesses, where we bring something to the party. And that’s the fundamental strength we look at it and we basically continue to look at opportunities, both in the U.S. and also internationally, where we can be next to our customers and be a provider to a customer as a vendor, as a partner, not just as a generic board manufacturer. So we look at it. And as Alan has mentioned couple of quarters before, at one-time, we have been very selective and revenues important. But we also want to make sure that we have good margin products. And we have been able to sip through it and we’re very proud to say that that business has done very well.
Greg Konrad: That’s helpful. And then just to follow-up on the integrated security services business, I mean, is that a big opportunity or any thoughts on how big a market that is or is that more about brand awareness for the product lines?
Deepak Chopra: Well, we said it before for many, many calls. We think it’s a very big market and it’s combined together with our standard sales processes. So we have to tried to explain to all of you. It can be a sale of a cargo product, it could be an integration of something add-on, training, image analysis or it could be a complete turnkey. So we look at that and global awareness is getting more and more. And we have said it before that our three major projects that we have, have been very successful. We have taken lot of customers international to look at some of these sites we have and people are very happy about it. So we’re very confident about it and this is a very big growth opportunity. And it has one of the big things in the cargo business, it has been – it’s a lumpy business. These kind of models do get a longevity. It’s a multi-year contracts and your customer is committed for a long-term investment with you.
Greg Konrad: Thank you.
Operator: Thank you. And our next question comes from Larry Solow with CJS Securities. Your line is now open.
Larry Solow: Great. Thanks. Just a few follow-ups. But on the healthcare side, it sounded like Jim wasn’t as I brought it to – correct – the problem, but opportunistically maybe you can improve things. Just – but specifically, on the quarter itself, anything in particular – I realize one quarter, like you said, impact doesn’t make a trend, but you have been doing pretty nicely and growing and sort of step back $7 million, $8 million on an absolute basis. You mentioned sluggishness in many regions. Is this something that – is it more a macro thing? Is it – you said there were a couple modules you went for that 10-K, or are there is still others out there, do you expect without being specific just to rebound in the next quarter or so, or any thoughts there?
Deepak Chopra: Well, you have basically said, answered your own question. One quarter doesn’t do anything. Jim was brought in not for anything that has anything wrong.
Larry Solow: All right.
Deepak Chopra: Sujit did his two years and he decided to move on to try other things. Jim comes from an environment, he’s in very different than Sujit’s. We’re looking forward to more innovation. We’re looking at more broader-based look at it. And we think that long-term, we’re completely committed to this, yes, Q3 and it happens, three quarters in a row, it’s grown. So, and some of these things didn’t pan out. Regarding the other thing is, yes, we’ve been saying it that the outside U.S. has been a challenging business, but we see some room to improve. We think that things are stabilizing and we continue to focus on it. U.S. has been very good to us and one or two orders got pushed out. So I look at it that as a – that we need to continue to focus ourselves and Jim will help us.
Larry Solow: Okay. So it sounds like, so you view as a short-term bump – speed bump in a road or whatever it may be without actually saying, you’re not quantifying the growth to follow, but you expect yourself to grow?
Deepak Chopra: Yes.
Larry Solow: Fair enough. And on the – just on the Security side, so just to confirm, the Mexico, the renewal actually would have been effective January 1. I was probably retried. So you actually had a full quarter at that lower rate, is that right?
Alan Edrick: Larry, this is Alan. We had nearly a full quarter.
Larry Solow: Okay.
Alan Edrick: The initial contract went through mid-January…
Larry Solow: Okay.
Alan Edrick: …close to 2.5 months of the new contract.
Larry Solow: Got it. And it was also, I think, I don’t know if you qualified in the last quarterly call, but there was also a little bit of pull forward that went into Q2 from this quarter, right? So you hitoutside of Mexico, right, just in the general security side, I hope, I’m not mistaken, is that right?
Alan Edrick: You’re saying some of what would have been in Q – we went into Q 2?
Larry Solow: Right, exactly. I think your Q2 is part of the upside. In the last quarter, we attributed to some sort of pull forward that you had pulled some forward into Q2 from – yes, from this quarter, is that right?
Alan Edrick: Yes, we tend to sometime see that, based upon customer requirements. And yes, despite that, you’re absolutely right, what you’re leaning towards that, the Q3 revenues were still strong, despite…
Larry Solow: Yes, it was like 6% organic growth. And then just on the trace business, obviously, it’s done better. It sort of ramped up since you purchased it and [questioned some new tire] [ph] restrictions that happened essentially right and the same time you guys acquired it. Does that sort of put the annual revenue at a – little over higher level, or was this just sort of a one-time short-term left?
Deepak Chopra: Well, in this quarter, trace did very well. We’re very satisfied. We continue to see a lot of opportunity and we have ramped up R&D in it. We look at it, that – it’s a great product line. It’s a high-margin product line, and we want to focus on it, continue to grow.
Larry Solow: Fair enough. Great. Thank, guys.
Operator: Thank you. And our next question comes from Jeff Martin with ROTH Capital Partners. Your line is now open.
Jeff Martin: Thanks. Hi, Deepak. Hi, Alan.
Deepak Chopra: Hi.
Alan Edrick: Hi, Jeff.
Jeff Martin: I was curious if you could go into a little bit about security from a broader perspective in terms of its growth, I mean, you outlined a bullish demand outlook. Do you feel that fiscal 2019, you’re going to be able to grow security and what type of growth rate is a reasonable assumption as we look to update our 2019 numbers?
Deepak Chopra: Jeff, as you know – this is Deepak here. We are not prepared to talk about 2019 yet, we have focused. But we see generally speaking, all our product lines are – look for growth. The pipeline is very, very strong and we continue to look at it. And obviously, Alan has been very careful to talk to you guys that – the Mexico program is lower, but we are very bullish about the Security business.
Jeff Martin: Okay. And then could you give us an update on the portfolio sales approach and now that it’s got a more robust product line than ever before. Are you seeing benefits from that? Is that a big initiative? Is that something that is still kind of percolating?
Deepak Chopra: Yes. In the security side, we are very proud to say that, we have the broadest portfolio and definitely the two acquisitions, the AS&E acquisition and the trace has made us a very broad product portfolio. Automatically, we can cater to more demands of the customer plus we have a lot of experience now more than six-plus years of doing a turnkey services. And as your product portfolio increases, we can give a better service to our customers. RTT continues to be looking at their check baggage initiative that we’ve been talking about it, trace is a new add-on to it. So all in all, we are very, very confident that we have a strong broad product portfolio. And our solutions and our ability to satisfy the customers, both domestically and internationally is better than anybody else, I think.
Jeff Martin: Okay. And then you’ve got a new product going through ECAT certification analysis. Curious if you could highlight timing and impact you see from that market if you have any visibility into that?
Deepak Chopra: Well, keep in mind that Checkpoint CT, there’s a lot of talk – a lot of people are talking about it. I’ve said it in my calls for quick to market. We went in together with Analogic’s technology, and it’s been tested for certification. I think it’s not going to be an overnight. Everybody would say differently. We believe it’s a very seat what’s happening today. Some of the high throughput lanes at a certain point when it’s tested well and the ConOps gets tested in the airport will happen. But it’s not going to replace a broad-based Checkpoint all over. So, we again feel very good about it that now we have another broad product line. So that we can offer our standard checkpoint machines and our ability now to have a checkpoint CT. So we can offer our solution, including the [indiscernible] systems.
Jeff Martin: Okay. And then could you give us some perspective from a competitive standpoint, if you’re early to the market on this? if you’re entering it, where there’s incumbents that are putting in for additional certifications as well, or kind of where you are in line with the submission?
Deepak Chopra: One of the Checkpoint CT, there is absolutely no market right today of anybody, who can be called an incumbent. Everybody is doing some testing. everybody is being looked at it some various pilot places, so are we. So we continue to work with them and this is not something that’s like somebody has already qualified. And frankly, even the specifications and the operations is not well-defined yet.
Jeff Martin: Okay, that’s helpful. And how much is remaining on your current repurchase authorization?
Alan Edrick: Jeff, this is Alan. We have a 900,000 shares remaining under the current authorization.
Jeff Martin: Okay, great. Thanks for taking my questions.
Operator: Thank you. Our next question comes from Austin Drake with B. Riley FBR. Your line is now open.
Austin Drake: Yes, good afternoon, guys. So the sports stadium and event security that you had mentioned, which products where we’ll see at those? And just any other color that you can add to that opportunity?
Deepak Chopra: Yes, this is Deepak here. Most of these events basically is, what I call, basic security that you see a guard with a wand. We think that with all these instance – incidents that are happening all over the world, we think that it’s going to go to a higher level. So it’s our metal gauge, it’s our X-ray machines, it could – it can also be some of the other add-on products that we have that the many see check in the trunk of a car, it could be the trace products that we have. So all those products and we were very, very happy that we will use this event at Biloxi to show the people who were there. There were hundreds of people from the security guard company of all these sporting event people, we showed our whole product portfolio. So we are looking at it forward looking to upgrade the requirement and the need for security at these events, where there are lot of people.
Austin Drake: Got it. That’s helpful. And then the abandonment of the – taken out of your division, you mentioned, will that affect the segment sales much going forward?
Alan Edrick: Austin, this is Alan here. No, we’ll not have a material impact. The sales from that technology were quite limited in the first nine months of this fiscal year.
Austin Drake: Okay. Thank you.
Operator: Thank you. [Operator Instructions] The next question comes from Brian Ruttenbur with Drexel Hamilton. Your line is now open.
Brian Ruttenbur: Yes, thank you. Just a couple of quick follow-ups, plans for repatriation of cash. I believe you have $194 million in cash. And is there any plans to repatriate that, or are you going to keep that all offshore most of it there, I believe is offshore?
Alan Edrick: Yes. Brian, this is Alan. Good question. We initiated certain repatriation already in the March quarter. So we had a – we done about $32 million last quarter in a couple of the different countries that we operate in. We’ll be further evaluating now for some of the larger ones in this fourth quarter and beyond. So big picture basis, yes, our goal is to repatriate a significant amount of those funds. So we are planning for that at this point in time.
Brian Ruttenbur: Okay. And then another housekeeping in terms of tax rate in the fourth quarter, which we would be modeling and then as we go forward tax rate on a yearly basis would be helpful?
Alan Edrick: Yes. So our effective tax rate for fiscal 2018, we forecasted to be in the neighborhood of about 28% plus or minus. So I think, that would be pretty good for you to be modeling for fiscal 2018. And we can offer some more insights for fiscal 2019 and beyond on our next call.
Brian Ruttenbur: Okay. And then last question, I don’t believe it’s been touched on is the FCPA. I assume, there’s no update, is that correct?
Deepak Chopra: That’s true. The investigations are progressing. We are cooperating fully. What I can tell you is that OSI is very proud to do business with honesty and transparency, and that we have very strong compliance programs to address the legal requirements we operate under. That is how we have earned the trust of leading security, defense, and healthcare agencies around the world and here in the U.S. More than that it’s an active thing going. We’re working it out and there’s not much more to add to it.
Brian Ruttenbur: Great. Thank you very much. Thank you. And I’m showing no further questions in the queue at this time.
Deepak Chopra: Ladies and gentlemen, thank you, once again, for attending our conference call. We look forward to speaking with you all in August and we will discuss our fourth quarter and full-year performance. Thank you.
Operator: Ladies and gentlemen, this does conclude your program, and you may all disconnect. Everyone, have a great day.